Executives: Tait Sorensen - Group Vice President of Investor Relations Carlo Bozotti - Chairman of Management Board, Chief Executive Officer and President Carlo Ferro - Chief Financial Officer Jean-Marc Chery - Chief Manufacturing & Technology Officer, Executive Vice President, General Manager of The Embedded Processing Solutions Segment and Vice Chairman of Corporate Strategic Committee Carmelo Papa - Executive Vice President, General Manager of Industrial & Multisegment Sector and Member of Corporate Strategic Committee
Analysts: Simon F. Schafer - Goldman Sachs Group Inc., Research Division Stephane Houri - Natixis S.A., Research Division Francois Meunier - Morgan Stanley, Research Division Sandeep S. Deshpande - JP Morgan Chase & Co, Research Division Didier Scemama - BofA Merrill Lynch, Research Division Gareth Jenkins - UBS Investment Bank, Research Division Andrew M. Gardiner - Barclays Capital, Research Division Jerome Ramel - Exane BNP Paribas, Research Division Janardan Menon - Liberum Capital Limited, Research Division Amit B. Harchandani - Citigroup Inc, Research Division Bernd Laux - CA Cheuvreux, Research Division Tristan Gerra - Robert W. Baird & Co. Incorporated, Research Division
Operator: Ladies and gentlemen, good morning or good afternoon. Welcome to the STMicroelectronics Third Quarter 2013 and 9 Months Earnings Results Conference Call and Live Webcast. I'm Goran, the Chorus Call operator. [Operator Instructions] The conference must not be recorded for publication or broadcast. At this time, it's my pleasure to hand over to Mr. Tait Sorensen, Group's Vice President, Investor Relations. Please go ahead, sir.
Tait Sorensen: Thank you to all for joining our third quarter and 9 months 2013 conference call. Hosting the call today is Carlo Bozotti, ST's President and Chief Executive Officer. Joining Carlo on the call today are Carlo Ferro, Chief Financial Officer, Executive Vice President, Finance, Legal, Infrastructure and Services; Georges Penalver, Chief Strategy Officer and Executive Vice President of Strategy, Communication, Human Resources and Quality; Jean-Marc Chery, Executive Vice President, General Manager of Embedded Processing Solutions; and Carmelo Papa, Executive Vice President, General Manager of Industrial and Power Group. This call is being broadcast live over the web and can be accessed through ST's website. A replay will be available shortly after the conclusion of this call. This call will include forward-looking statements that involve risk factors that could cause ST's results to differ materially from management's expectations and plans. We encourage you to review the Safe Harbor statement contained in the press release that was issued with the results last night and also in ST's most recent regulatory filings for a full description of these risk factors. [Operator Instructions] And now, I'd like to turn the call over to Carlo Bozotti, ST's President and CEO. Carlo?
Carlo Bozotti: Well, thank you, Tait. I would like to thank everyone for joining today's call. But before I start, I would like to welcome back Carlo Ferro. He has rejoined the company at the beginning of August after his service in ST-Ericsson, first as the COO and then as a CEO of the company. And as you know, we have now completed the pickup of the ST-Ericsson activity.
Carlo Ferro: Thank you, Carlo.
Carlo Bozotti: So our financial performance in the third quarter was mixed, and there was a direct reflection of the changing demand in the semiconductor market, which has clearly slowed. We posted progress in the third quarter towards our business and financial goals, although somewhat less than what we had envisioned. So let me first discuss the changes we saw in the semiconductor market environment, and then move to our third quarter financial results in more detail. In the market, on one hand, we experienced a few negative developments in the third quarter. In Asia, there was a softening of demand, specifically impacting the mass market and across many applications with the exception of Automotives. In addition, within the Asian cellular phone market, feature phones and the mid-tier smartphones outpaced the high-end leading to a much less favorable product mix. And finally, in India, the demand for our cable set-top box solution was reduced due to the postponement of the country's Cable Digitalization Program. On the other hand, point of sales in distribution remained solid in all the regions, and our inventory position in the channel is healthy. Furthermore, Automotive products demand continues to be strong across the portfolio in powertrain, body, safety and infotainment and in all regions. Let's move now to our sales results, where third quarter revenues were to $2.013 billion, and net revenues, excluding Wireless product line, totaled $1.88 billion. Based upon available WSTS market data, we believe our year-over-year growth of 3.9%, excluding ST-Ericsson products, will outperform our served markets, thanks to growth in Imaging, Microcontrollers, MEMS and Automotive. On a sequential basis, net revenues, excluding ST-Ericsson products, also slightly increased, driven by the performance of the same key product families I just mentioned. Operating income before impairment and restructuring charges in the third quarter was a $54 million profit, improving by $118 million on a sequential basis. This was due in large part to the sale of ST-Ericsson's Global Navigation Satellite System business along with significantly lower operating expenses. Now let me move to our 2 product segments. Within our Sense & Power and Automotive product segments, net revenues were stable quarter-to-quarter. Automotive and MEMS increased slightly, and we anticipate further strength in the fourth quarter, benefiting from both increased volume and the penetration of our products. Industrial and power products experienced lower volumes than expected due to the current market dynamics. Importantly, overall, in Sense & Power and Automotive, we saw a progression in the operating margin to 6.2% from 3.5% in the previous quarter on higher gross margin and lower operating expenses. Turning to our Embedded Processing Solutions segment. Revenues decreased sequentially. The decline in Wireless was significant, but lower than expected. In Set-top box, sales decreased as well. However, we are encouraged by the traction at our customers and design wins with our new products and technologies. The growth in Imaging and in Microcontrollers was significant. Embedded Processing Solutions' operating loss was negative $18 million. Excluding the $75 million gain from the sales of the assets, mainly the ST-Ericsson GNSS business, EPS operating margin improved 130 basis points to negative 11.5% on reduced operating expenses. Turning to the gross margin, we had a sequential decrease of 40 basis points to 32.4%. This decline principally relates to a negative mix effect with a higher weight of legacy ST-Ericsson products, combined with lower-than-expected sales of products from our core businesses. Moving to our inventory, the total stood at $1.32 billion, a decrease of about $20 million from the second quarter. Our inventory turns remained at a good level of 4.1 turns or 88 days, so stable quarter to quarter. With respect to our capital expenditures, we invested $166 million net in the third quarter and about $400 million year-to-date. We anticipate much reduced level in the fourth quarter, so we are now on track to spend about $500 million in 2013, which is well within our targeted CapEx-to-sales ratio of 10% or below. At the end of the third quarter, ST's liquidity was $1.53 billion, and we have a net cash position of $739 million. Based on this solid financial position, the resolution to distribute the cash dividend of $0.10 per outstanding common shares in the fourth quarter of 2013 and in the first quarter of 2014 has been submitted for shareholder adoption at the Extraordinary General Meeting of Shareholders to be held in December. We have a number of highlights to share with you this quarter, which illustrates the positive momentum that we continue to have with design wins and new product launches. In addition with the completion of the transaction to split up ST-Ericsson, we are strengthening our product development in key areas where we see important customer expansion opportunities, including embedded processing, radio frequency, analog and power. In Microcontrollers, we achieved record billings, driven by general purpose devices. We ramped production of our STM32 for Samsung's latest wearable devices and the smartphone. We earned a number of sockets for other wearable devices, as well as a socket in a new generation of fitness products from a leading brand. Moreover, in Secure Microcontrollers, we earned the Secure Element in the showcase smartphone from a major OEM, and we have achieved the Bank-Card Test Center certification for our secure microcontrollers for Dual Interface Banking in China. In Power and Smart Power products, we won significant business with 2 new custom chips with extended lifetimes from major European automation companies, as well as another for a dedicated power supply for utilities metering. Moving to our Imaging business. During Q3, we started deliveries of a new dedicated Image Signal Processor to a leading consumer brand. And in our diversification efforts, we sampled a new Image Signal Processor and an image-sensor combo chip to a leading automotive supplier for safety applications. In our Set-top box and Home Gateway business, we launched in September, in fact, in Amsterdam at the IBC, our new ARM-based 28-nanometer devices that support Ultra high-definition and HEVC video decoding. These products are ideally suited for client-box, our Cannes family, and home servers, our Monaco family applications. And we have already achieved a major design win with a Tier 1 operator. At the same time, we continue to demonstrate strong momentum with our low-power, high-performance FD-SOI technology with 7 design wins to date, and a sustained high level of customer interest. Turning now to our Analog, MEMS & Sensors products. In Q3, we started high-volume production of our latest gyroscope and digital microphone for a major consumer electronics manufacturer. We launched a new family of gyroscopes specifically optimized for image stabilization in mobile phones and cameras, and we earned a design win for a new environmental sensor from a leading Chinese smartphone manufacturer. We are also working on smart sensor systems. In Q3, we launched mass production of one of them, the combination of an accelerometer, a gyroscope and a microcontroller for a handheld gaming system from a major consumer manufacturer. This kind of integrated solution is something we see playing a growing role in the deployment of the Internet of Things. We are also working on the connectivity needed by smart connected things and began sampling the industry's most energy efficient Bluetooth 4.0 network processor for smart applications. Finally, let me conclude with our Automotive business. We won a socket in a body gateway and control system, and one within a transmission system from leading European automotive equipment manufacturers. We also earned major awards from multiple suppliers in Europe and in Korea for our successful car lighting products. And in car infotainment, we won the new-generation BaseBand chip for Digital Satellite Broadcasting at the Sirius/XM satellite radio, of course, for North American applications. So to conclude on products, I believe our progress and momentum continues. Now let me move to our fourth quarter outlook. Based on the more muted environment that we saw in the third quarter, we anticipate a relatively flat sequential revenue performance. From a gross margin perspective, we anticipate some positive sequential progression, as we expect it to be at about 33% at the midpoint, positively impacted by manufacturing efficiencies and negatively impacted by about 1 point for currency and unused capacity charges. Turning to our cash flow. We expect to generate a substantially positive free cash flow in the fourth quarter, and of course, it will continue to be a top priority for us in 2014. We continue to aggressively pursue our objective to reach an operating margin of about 10%. Our initiatives to reduce cost, such as achieving our net operating expenses targets and improving our manufacturing, are on track. However, the timing for us to achieve our operating margin target will depend greatly on our level of revenues. Based on current visibility including the market conditions, reaching this operating target is now expected in mid-2015, about 6 months later than originally expected. My colleagues and I are now ready to take your questions. Thank you very much.
Operator: [Operator Instructions] The first question is from Mr. Simon Schafer from Goldman Sachs.
Simon F. Schafer - Goldman Sachs Group Inc., Research Division: I just want to ask on this decision for you guys to alter your profit goal timeline for the 10% figure. I understand the point about softening demands, specifically on the smartphone side. But in order for you guys to really take a view as to whether you can do 10% operating margin in the end of '14 or mid-'15, you really must be taking a fairly explicit view on the duration of this inventory adjustment period that we're going through. So anything more that you can share on that decision to offer such a change in guidance to [indiscernible] 12 to 18 months from now?
Carlo Bozotti: Well, as I said, clearly, with our experiences with our own bookings [ph], particularly in our bookings [ph] in September -- and this is very much centered in Asia. Obviously, the situation in India with the set-top box is very specific. But the 2 major point [ph] is the smartphones. And not really the quantity. It's more the mix. It's the mix between low-end products and high-end products. And the mass-market situation, I think, is -- from our distributors in Asia, there is the expectation that their POS will decline in Q4. And as a result of this expectation, bookings were reduced. Billing in Q3 was reduced, and of course, billing in Q4 will be reduced. On the positive note, the POS of our distributors in U.S., Europe and those in Asia was pretty good during the third quarter. And the inventory position that we have in the channel in all the regions is healthy. We have a stock turn that is ranging from 4 to 5 depending on the regions. So we consider this pretty healthy for the product portfolio that we have. So personally, also talking to our distributors in Asia, of course, and we believe that this is more a short-term demand correction. And this is, of course, something that we will then -- we will get more confidence during the course of the quarter and the next weeks. But at the moment, with the visibility we have talking to customers, particularly talking to our distributors in Asia, we expect decline of the point of sales of our distribution in Asia in the last quarter of this year. And this has impacted Q3 and, of course, will impact Q4, but then a more positive momentum starting from next year. So clearly, we need to be vigilant here. We will monitor the booking situations during the next few weeks. But this is the best visibility that we have today.
Simon F. Schafer - Goldman Sachs Group Inc., Research Division: And Carlo, forgive me. I mean, I get the point about Q4. But the question is you guys put this plan forward in May at the Capital Markets Day. You had reiterated in July. Correct if I'm wrong, but some of the fundamental challenges as it relates to price point adjustments or mix skew towards the lower end was sort of a similar dynamic that we saw then compared to today. So what has fundamentally changed that would make you think that the inventory adjustment is going to take that much longer?
Carlo Bozotti: Can we repeat on the Q2? I mean, what we had anticipated in Q2 was a poor mix in the -- or a poorer-than-expected mix in the smartphone. This was what we anticipated in Q2. We have reconfirmed this. I think in Q3, this is what we have experienced. It was a little bit more than what we have experienced. What was the change in Q3 is really the bookings, particularly in the mass market in Asia. And this is what is new for us compared to what we had at the beginning of the quarter. And this is visible in terms of bookings. It's visible also in terms of, for us, billings. I think our guidance to be flat in Q4, of course, takes into consideration this decline of bookings on the mass market in Asia. But talking to our customers in Asia and talking to our distributors in Asia, what we heard from them is that this is an adjustment that is between Q3 and Q4 this year, and then they proceed to restart again with a more positive momentum.
Simon F. Schafer - Goldman Sachs Group Inc., Research Division: And my follow-up question is it's good to see that the CapEx budget's sort of navigating around $0.5 billion now. But fundamentally, as you look out 2000 -- sort of 3 to 5 years, are you guys still producing that capital intensity significantly? Or are you still very focused on continuing to expand, [indiscernible] capacity, and then also the shrink roadmap?
Carlo Ferro: Yes, so maybe I take the question, Simon. Carlo Ferro speaking. Good morning, good afternoon, everyone. The CapEx model of the company remains as the one that has been indicated, spending below 10% of revenues. In capital, as you noted, the number will be totally in line with [indiscernible], and absolutely, well below this target. And frankly, for next year, based on the current visibility we do have on [indiscernible], of course, as we end the year, we will reduce the number we may expect to spend in the order of slightly above this order of magnitude. So remaining well below the 10% of revenues next year as well.
Operator: Your next question is from Stephane Houri from Natixis.
Stephane Houri - Natixis S.A., Research Division: Quick question on the gross margin, if I may. You had the underlying assumption of the 10% EBIT margins still to get back to 37% gross margin. In APS [ph], according to you, what is today the most important element for you to achieve it? Is it loading? Is it mix? Is it ForEx? If you could specify your utilities [ph] turn rate at the moment. And also, lastly, if you could tell us how much was the negative impact of ST-Ericsson during the quarter on growth margin.
Carlo Bozotti: Yes. Well, I will leave it then Carlo to comment on the loading and to provide a very -- the accurate loading numbers for Q3 and Q4. The most important negative effect that we had in Q3 that is still there in Q4 is mix -- is product mix. We have a level of revenues coming from ST-Ericsson that is above or even well above the expectations. I think, for us, this business is, of course, a business that we want to support because it's generating cash and supporting our customers, very important customers. And the line again is generating cash. And -- however, it's very dilutive in terms of gross margin. So overall, the major element ingredient for us to improve gross margin is a significant improvement in the mix of products. Clearly, we can with the natural reduction of ST-Ericsson products. And also, thanks to the improvement of the mix of ST products. This is, I would say, the first ingredient. I would like to mention a very -- second very important ingredient is the manufacturing plan that we have announced in the month of July, with the phase down of 2 6-inch fabs. One is more rapid; in Singapore, it is happening today. The second one is -- to follow soon after, is the 6-inch activity that we have in Catania. And the ramp-up, both in Singapore and in Catania, of the 8-inch activities. This is the second important element in driving our gross margin up. In terms of, say, saturation and loading, I would -- we are far from being in an optimal situation, but it's not too perfect [ph]. I think Carlo will comment here.
Carlo Ferro: Yes. That unloading for the quarter is in line with anticipation. The percentage of loading, overall, is between 86% and 87%. However, this is not going to continue, given the market demand, the circumstances in the fourth quarter. We expect the fourth quarter below 86%, however, this is very much differentiated by technology. And in particular, we have a couple of fabs in 6- and 8-inch where we expect loading below 80%, and then 12-inch loading is anticipated at around 84%. Of course, we are taking actions to mitigate the economic impact of this level of demand with reduced activity already planned, especially around the period between Christmas and New Year's Eve [ph]. However, this will result in the quarter in unsaturation charges that we do estimate in the range of $10 million for the quarter. So you see the impact to the gross margin evolution from Q3 into Q4 is quite visible. And overall, I would say between exchange rates and the additional unsaturation, we lose about 1 percentage point of gross margin from Q3 into Q4. Now looking forward, Q1 is expected between 86% and 87%, with a better loading in the 12-inch. We still anticipate some unused capacity charges, but significantly lower than what we expect for the fourth quarter, so an improvement in Q4. And then, from the second quarter on, at this point, we see a normalized utilization under the current visibility. But of course, as Carlo said, we remain vigilant on demand evolution.
Stephane Houri - Natixis S.A., Research Division: All right. Does it mean that, directly, you're suggesting that Q1 gross margin could see an improvement compared to Q4?
Carlo Ferro: This, frankly, is not what I said. We need also to consider, as you are familiar with ST model, that when you have some unloading, you have also not excellent efficiency with the fab. Q3 has been a very good quarter for manufacturing. These reflect the margin progression into Q4. Q4 could not be the same level of the features [ph] manufacturing for the reason I said, so frankly, it's early to give the guidance for the first quarter gross margin. At this stage, we -- I have not anticipated what you said.
Operator: The next question is from Mr. Francois Meunier from Morgan Stanley.
Francois Meunier - Morgan Stanley, Research Division: The first question is for Carlo Ferro about dividend and the dividend cover for next year. I think everyone is doing biconceive [ph] of calculation for next year, and it looks like it's going to be quite difficult to have a proper coverage of the dividend for next year. I know cash generation is very important for you. But what is the plan to have a structurally covered dividend going forward? That is the first question. The second question is for Carlo Bozotti. What -- yes, you've been talking about design wins for the [indiscernible] and MEMS and that sort of things for wearables technologies. Is it going to be enough to compensate for some lost market share in MEMS to see that growth next year in MEMS?
Carlo Bozotti: Maybe I'll start from this, and then I'll leave it to Carlo to elaborate on the first question. Well, of course, there are 2 axes there. One axis is the new application. So the new applications, we said, is wearable products, health care products, but also automotive products. Now automotive, it takes time, but it's a very big market. We are absolutely committed in the MEMS market and the Automotive, and we have some, say, prestigious also. And that means with major customers, including the ramp-up in manufacturing, with prestigious customers for the MEMS and the Automotive. So these are the new markets. But one of these 2 markets is small and developing, which is the wearable products. The other one is big, but it takes time. So -- but now, let's go to the bulk of the business. And here, I want to make a clear point. Our MEMS family is really centered on 3 axes for smartphone applications. One is more share on MEMS. We do not dream to be 100% market share everywhere. The second one is environmental sensors, and the third one is acoustic sensors. In my little address before, I had mentioned that we started production with a major OEM customers with a new gyroscope and digital microphone, for example. So for us, these 3 lines are all coming from the same technology, that is our micro machinery technologies, our MEMS technology. And it's important for us, of course, to have the highest possible market share on the accelerometer and the gyroscopes, but also to expand in the environmental sensors and in the acoustical sensors. In addition, there is a new family that is gaining a lot of traction in the smartphone. That is our new touch-sensing solution. It's another form of sensor. This time, it's not micro machinery. It's more on traditional technology, but it's a very innovative solution. And this also, we believe, will contribute to the growth of our sensor offer. So you see, yes, is new application. But one block of new applications, wearable and health care, is developing, but still relatively small. The other one is huge in size, but the way the Automotive business is working, it takes some time. We are confident. We are very committed. We are strong in Automotive, and therefore, we will succeed in MEMS and Automotive, but it will take some time. But on the smartphones, it's not just the accelerometer. It is the accelerometer. It's the gyroscope. It's the combo. It's the sensor labs. It's the digital microphone. It's the environmental sensors with the recent addition of the fingertip for touch-sensing applications.
Carlo Ferro: And now the dividend. Thanks, Francois, for the questions. We chose to allow [ph] offset to remind that ST distributes a dividend out of distributable reserves. And our balance sheet shows over $4 billion of distributable reserves. So the net earnings of the year itself is not at all a relevant factor on the dividend decision. As you rightly point, this is more about the overall financial situation and capital structure of the company. We closed the quarter with $1.53 billion of available cash that are limited. The difference between that and cash results into a net cash position of $787 million. On top of that, we carry about $1 billion of available credit facility as a combination of the European investment bank facility and the number of the capital committed lines. So at the end of the day -- and more importantly, as Carlo already mentioned, we plan to turn and to generate a substantially positive cash flow next quarter. So all conditions exist to continue the current level of distribution of dividends.
Operator: The next question is from Sandeep Deshpande of JPMorgan.
Sandeep S. Deshpande - JP Morgan Chase & Co, Research Division: A question I'll ask Carlo Bozotti would be: Is there any more restructuring that needs to be done to be able to lower the breakeven point of STMicro, so as to reduce this impact of short-term movements in the market on your margins, such that you remain in positive margin territory even when there are, as we see at the moment, a short-term impact in the market? And then I have one follow-up.
Carlo Bozotti: Yes. Well, of course, today, we are executing 2 fundamental programs. At the beginning of this year, there were 3, and now were 2. So at the beginning of this year, we had the ST-Ericsson breakup. We had our $600 million initiative, expense initiative. And very importantly also, the manufacturing, restructuring initiative. Just to give you sense of where we are, of course, the ST-Ericsson breakup was completed. The P600 -- sorry, yes, the $600 million initiative is so far executed at the level of about 1/2, 50%. So we are still working on this. We already clearly defined the target for Q1 next year. Of course, so far, we do not have any contribution from banks, not in Q3 and not in Q4. But we expect, of course, after the agreement with the French government and with the clearance of European Union, to start benefiting from this. And the initiative on manufacturing we started in July and the initiative on manufacturing is closing to 6-inch fabs and increasing capacity in the 2 same locations on the 8-inch activities. As I said before, in Singapore, we'll go faster. It is something that will be completed. Overall, this is a very big 6-inch fabs. It's a program that will be completed by the end of next year, Q3, Q4 next year. This is a major activity for us. And then there is the closure of the 6-inch fab in Catania. So we believe that these are important programs for us. I am convinced that we do not need new initiatives. I am convinced that we need to focus on these 2 initiatives, execute on these 2 initiatives and extract all the benefits from these 2 initiatives, both in terms of expenses and in terms of manufacturing efficiencies.
Sandeep S. Deshpande - JP Morgan Chase & Co, Research Division: And then, Carlo, just a quick follow-up on the ongoing situation. From based on what your comments are is that you've seen a more broad-based weakness in orders and it's not necessarily only handset specific, which is where the fear was, that the more high-end handset market is weak. Based on your conversations, any recent conversations you have with customers, why do you believe that this is only short-lived? I mean, clearly, there is no inventory issues in the supply chain at STMicro itself. But is it from your customers that you're hearing that they could be -- this could be only short-term, and this will go away, say, in 1 quarter, 1.5 quarters or 2 quarters?
Carlo Bozotti: Yes. Absolutely, it's from our customers. And as usual, we are trying to report as much as we can. Of course, we cannot always mention the names of the customers, what we see from customers and what we hear and discuss with customers. Let's talk, for instance, just to be very safe, let's talk about the distribution business in Asia. The POS of our distribution in Asia during Q3 was good. The POS is the sales our distributors on our products. It was a good performance, and -- however, they have anticipated a slowdown of their POS for the fourth quarter of this year. And as a consequence, booking was reduced. And as a consequence, billing was reduced in Q3. And we managed to keep inventory under control in these measures because our inventory in ST and also in the channel is, I believe, is healthy. And of course, there will be an implication on Q4 sales. But talking to the same customers, so the same customers and the same distributors that are telling us that there will be a decline in Q4 and there will be a reducing billing in Q4 and already in Q3 to adjust on the inventory, it's talking to the same customers that we hear that they expect that there is nothing that is dramatically impacting the macroeconomic situation, then this should be a short-term demand correction. So we are just reporting what we have. We believe, in terms of macroeconomic, better than us, I think what are the implications, I believe that listening to our customers is, for us, fundamental. It's the best way to manage and also to report to you. In addition, we want to continue to gain market share. This year, the semiconductor market that we serve is declining. Now it's already 9 months. I think we have a better visibility. But based from all the data that we have from WSTS and the institutions, the market is expected to decline this year by, let's say, about 2%, 2 percentage points. And without the ST-Ericsson products, we will grow. This is clearly less than what we had anticipated, for instance, at the beginning of this year. But we will grow. I think we will grow probably 3% in the year, including a year-over-year growth in Q4 similar to what we have achieved in Q3 of the year. So we expect to continue to outperform the market. Our target, as we have described to you, is to outperform the market by 50%. So if the market, as expected now by WSTS, will grow 5.1% next year, we expect to outperform this market. I am convinced that this year, we are doing better than the market on the products that we serve. And of course, we are very, very committed to continuing to do so next year.
Operator: The next question is from Mr. Didier Scemama from Bank of America Merrill Lynch.
Didier Scemama - BofA Merrill Lynch, Research Division: Actually, Carlo Bozotti, just wanted to bounce on your last point that you say ST, you're going to grow 3%, excluding ST-Ericsson, for the full year. So my question was could you guide us maybe on your growth sequentially? Excluding ST-Ericsson, it feels as though you're guiding effectively flat. Is that correct? And I've got a follow-up.
Carlo Bozotti: Listen, we have -- now we have consolidated ST-Ericsson. It's already difficult to give one guidance. It's even more difficult to give 2 guidances. But overall, the expectation is to be pretty flat on both ST and ST-Ericsson in Q4. This, again, is not a precise guidance. But now, the ST-Ericsson products are about to recede [ph]. ST-Ericsson is not there any longer. We want to be flat on our products. I believe that being flat of our products is definitely better than the average of what we have seen in these days from our competitors. And the fact that it is flat in ST-Ericsson is a consequence of the strong demand that we have from certain customers on feature phones and lower-end smartphones. This is good from a cash point of view because we are generating cash, of course, from this business. It is dilutive, significantly dilutive, from a gross margin point of view. But moving into Q3 to Q4, what we expect at this moment is to have some strength in products like Automotive and MEMS, some weaknesses in other products and to have, overall, a situation of being flat both in ST and in ST-Ericsson.
Didier Scemama - BofA Merrill Lynch, Research Division: Right. That's great color. And then my follow-up would be on Digital Convergence Group and Imaging Group. So maybe starting with Digital Convergence. So you've highlighted some of the headwinds that you're facing in India, which obviously, are temporary by nature. But when I look at the longer-term picture for Digital Convergence, I mean, that's a group that had been shrinking almost 50% over the last few years, and the outlook is a bit tricky. So I was wondering, what can you do to really turn this business around? I would say, in the next 12 months, outside of what you've already highlighted, the cable gateway market, which proves to be very, very elusive. And the second point is on Imaging. Can you explain what are the drivers for the very strong growth that you've shown in Q3? Because you just talked about new customers, but I mean, clearly, we know 3 of your customers, HTC, BlackBerry and Nokia, none of which seems to be particularly doing well. So I'm just wondering, is it really gaming console that is driving your uptick in Q3? And how much of that -- is it really sustainable into next year?
Carlo Bozotti: Well, I will want Jean-Marc to comment. And then, if Jean-Marc allows me, I will also comment on this because, of course, it's very, very important for us to turn around DCG, and we will turn around DCG. But please, Jean-Marc.
Jean-Marc Chery: Thank you, Carlo. So to understand DCG, I think we have to split the group in 2, so the ASIC and the set-top box. So first, let's speak about the ASIC. So our strategy in ASIC is quite simple, so is to gain market share in complex ASIC for communication equipment. And the second one is to enter in a consumer high-volume ASIC. So thanks to the additional resources we have now from ST-Ericsson, and thanks to our FD-SOI technology, this growth we will achieve it because, as mentioned by Carlo during his speech, we have win 7 design, and all in ASIC. So thanks to the FD-SOI. And this additional business will start second half of next year, most probably, end of Q3 or Q4, and massively, next -- the year after next, so in 2015. So in ASIC, okay, we are really confident to grow this business, both winning market share in a complex ASIC for communication equipment infrastructure, but for high-volume consumer as well. Now let's move to the set-top box. Set-top box, okay, if you remember well, our strategy is to remain #1 out of U.S. and to re-enter in U.S. DOCSIS data cable gateway. To remain #1 out of U.S., our strategy is to protect our position when we address the market of, let's say, best example, interactive DVR. And here, okay, the main driver is [indiscernible]. So now we are in a project transition, moving from 55 nanometer to 40 nanometer, and then in 28 nanometer. And the second main growth driver for the set-top box is really to win market share in connected box, connected client box on 3 servers, and then gateway. And as told by Carlo during the speech, here, we have a very, very strong adoption from the world of Cannes family for connected client. Our Monaco family for home [ph] server. And as a continuity, okay, we start to see very good adoption of our future gateway. Again, here, we expect to grow this product starting end of this year. And as mentioned, we have already major design wins from the Tier 1 operator and against a major competitor. So we are very confident with the DAG to grow. Of course, the next 2 quarter or 3 quarters, basically, we do not expect a gross. We will remain flat, except seasonal effect. And we will start to grow second half next year and massively into '15. Then coming back to Imaging. Imaging -- now of course, you mentioned the 3 customers. But we confirm that, okay, our Imaging strategy is based on, let's say, 3 major product family: the Imaging sensor, the Imaging single processor and the proximity sensor. So again, in Imaging single processor, also, we have -- in Q3, we have growth with a measure or bond [ph] customer. And you know that Imaging single processor is a strong growth driver. And more and more in the future, we'll request a strong power at a lower power consumption. And here, again, the 28 FD-SOI will allow us to grow. Imaging sensor, we are in a recovery of our [indiscernible] technology. So we expect to gain market share as well, on top of the customer you mentioned, and other customers. And then proximity sensor, okay, this will be the key for the near future. And here again, we strongly expect to win a major design within a major player.
Carlo Bozotti: We cannot make the name of the customers. I mean, it is different market segments. It is at least 3 different market segments. One is consumer products. The second one, of course, is smartphones, but with a very, very strong ambition to be in the proximity sensor market. And the third one is Automotive. Again, in the Automotive, we have a good solution now. We have won a major contract there with a major automotive player. So it is a diversification strategy. And the fact that we're in least in 3 different marketplaces with 3 different kinds of products. I mean, of course, the CMOS sensors, but also the DSP for Imaging, and also the proximity sensors. But one word for DCG. I am personally visiting a lot of operators. A lot of operators. They are all major operators in U.S. and in Europe. The 2 products -- the family, the new family, that we have launched at the IBC in Amsterdam are very good products. One is more for clients. The other one is more for servers. We see a lot of traction. We have a major win already. Again, I cannot make the name, but it's a very, very prestigious operator in the world. And we expect more. So the situation is difficult today for DCG, however, we have the confidence, thanks to the win on ASICs. And this is very much related to the FD-SOI technology. And thanks to the transition that we have anticipated on ARM products, thanks to these 2 important assets, turn it around and to reach a level of revenues that is what we deserve from the technology that we have in this business.
Operator: The next question is from Gareth Jenkins from UBS.
Gareth Jenkins - UBS Investment Bank, Research Division: A couple if I could. Just firstly, I wonder if you could talk about the autos business, where you're seeing the strengths and what the book-to-bill looks like within autos currently?
Carlo Bozotti: Yes. In the Automotive business, speaking about the book-to-bill is sometimes a concept that is -- because as most of the business, particularly with the major customers, is through full systems. So there are frame orders, and then the billing and the bookings, from a financial point of view, they happen at the same time, so -- and typically, it's close to 1. So the indicator that, for us, is very important is the evolution of the backlog. And the evolution of the backlog in the Automotive is very strong. It's very strong. In Q4, we have a strong backlog. We expect it to grow in Q4 in the Automotive and it's broad range. It's broad range, both from the product point of view. So it's microcontrollers and our power products, or smart power products and those infotainment products. It's also broad range from a geographical point of view. So it does include China, for instance, or our major customers in Europe, of course, very much centered in Germany, and in U.S. So I think, in general, it's a good momentum in the Automotive. And as I said before, during the course of Q3, we have not seen a correction of -- in terms of demand, and the backlog has continued to grow in Q4. So we expect to have a positive last quarter on Automotive products.
Gareth Jenkins - UBS Investment Bank, Research Division: That's great. And just another follow-up on MEMS. I just wonder if you could give us a sense of the size of that business alone this year in terms of growth? And also, what's happening on pricing? Obviously, we've seen some shifts in terms of market share of major handset vendors. I just wondered if you could talk about pricing environment for some of the standalone, I guess, older products, the standalone 3-axis accelerometers, et cetera.
Carlo Bozotti: Yes. Overall, it's an important driver for us. I mean, of course, there are more competitors. This is obvious. And I think, for us, what is important is to continue to innovate at the pace that we had during all of these years. I think important drivers for us are all the combinations of motion sensors in one package or in one module. This is one. Another one is the gyroscope for image stabilization. This is a completely new field. It's very promising field. Another area is the environmental sensors. Another area is the acoustic sensors. So we have now products in all of these. And of course, we are entering customers, and we are working with customers and expand our presence on these new products. We also want to be in the accelerometer per se. We may have lost one socket. But we never give up. So I would not be surprised that one day, even on the single accelerometer, so -- apart this, I think that it is an important driver for the company. But from the other end, there are competitors, and we do not dream to be the single source on everything, therefore, we must expand the customer base on non-smartphone products, which we are working diligently, particularly in Automotive. That's a very big market. But we also want to expand in terms of products. And allow me to finish again with the [indiscernible]. This could be very good one because we believe we have a good technology here, and we believe that we can expand this business with high-volume applications.
Operator: Next question is from Mr. Andrew Gardiner of Barclays Capital.
Andrew M. Gardiner - Barclays Capital, Research Division: I just had a question around some medium- to long-term targets again. I mean, you've clearly indicated it's going to be a bit more challenging to achieve that 10% target. But your statements seem centered more around this lower revenue $2.25 billion, quarterly revenue run rate. I was just wondering if you can touch on the FX impact as well? Your 10% target was based at effective rates of $1.30. We're 6% richer than that now for the euro. Is it also going to take some significantly more quarterly revenue in order to achieve 10%? Or are you -- are there other things that you can do on the cost side to try and mitigate the currency impact at the moment?
Carlo Ferro: Yes, maybe I take the question, Andrew. Carlo Ferro speaking. You are right to point also on the exchange rate impact. That, of course, is different from when the model has been presented. However, again, at the end, that this is something is targeted at the company aggressively pursued, so we intend, at the end, we intend to achieve it. The current outlook of reaching the model in the mid of 2015 is based on $1.34 exchange rate, the one that we see. I would say that maybe a couple of figures in compared to this number is something that we can always manage and digest in the execution and some for their initiatives and further actions. Of course, not all could be valid for any kind of exchange rate. So at the end, an exchange rate at $1.40, we need to talk, unfortunately, again. However under the current visibility, the difference between the exchange rate when we prepared the communication in the last 10 days, and the 1.37 of this morning is something that in the 6 quarters -- 6, 7 quarters -- are basically sure [ph], we are sure we can absolved.
Carlo Bozotti: Also, the guidance for the fourth quarter, I think we have given with an effective rate of $1.34.
Operator: The next question is from Jerome Ramel of Exane BNP Paribas.
Jerome Ramel - Exane BNP Paribas, Research Division: Carlo, just -- you mentioned you expect to gain market share this year. And if we look at your guidance of flattish revenues in Q4 versus Q3, indeed, it's better than most of your peers. But if I look at your performance in Q3, especially in analog MEMS, even Automotive, in the industry, all have been much lower than most of your peers. So I just want to understand where are your sort of gaining share, because the gap between Q3 and Q4 doesn't seem that obvious for me. And I have...
Carlo Bozotti: Yes, look, we have the numbers from WSTS through -- I think it's the end of August, right? And through the end of August, we have -- and we are rigorously taking the number of WSTS. And then we have another criteria in Q4. We benchmark with our -- we have a selected number of competitors that we've benchmarked with. It's 10 competitors. And then from these 10 competitors, we take the numbers from a very least -- from their result. They're all listed companies. So the WSTS number through the end of August of this year is declined in the market that we serve. That, of course, does not include the modem and does not include the digital core of the smartphone and does not include the DRAM and the Flash memories. But this is obvious. But it is a decline of 3.4%. This is through the month of August and are regularly [ph] number coming from WSTS. We have grown in the first 3 quarters because we have the numbers for ST, of course, for the first 3 quarters of this year. We have grown by 1.9% so far in the year. And quarter-over-quarter, Q3 over Q3, we have grown 3.9%. With the guidance that we have given, we expect quarter-over-quarter to also grow. It's about 4% again. And based on all the information that we have, we have information coming from WSTS and what we have achieved in 3 quarters, and what we expect to do in Q4 is to grow in ST. And with the market that clearly will not grow. I think if I take the WSTS number is now for the year, and of course, this a forecast, is more in the range of minus 2.3%.
Jerome Ramel - Exane BNP Paribas, Research Division: Okay. And I've got a follow-up. Concerning the MEMS, I know you don't disclose the margin per subdivision, but there are a lot of concern among investors that the dividend that used to be very profitable is now a little bit under pressure. You mentioned price pressure at the end of Q2, some market share last year. Plus, you are not the only one to have an aging fab for MEMS anymore. So could you just give us an idea on the long run, the MEMS, either low-teens margin, the mid-teens or high-teens just to get a sense? Because that [indiscernible] will be a figure in creating message for investors.
Carlo Bozotti: Yes. Well, I think, again, we do not provide figures by product groups in terms of profitability, and we do not provide figures for sub-families [ph]. But the target that we have for our Sense & Power and Automotive is to stay between 10% and 15%. And I think that the contribution that we expect from MEMS is, on the average, better than the average of Sense & Power and Automotive. I think, as I said last time, I mean, our target for Q4 this year was to achieve 10% in Sense & Power and Automotive. We expect an improvement in the Sense & Power and Automotive. But due to lower-than-expected revenues -- we expect an improvement vis-à-vis Q3, but due to the lower-than-expected revenues, we will not be yet at 10% for this year. But in general, if you take the Sense & Power, Automotive with our goal to be systematically between 10% and 15%, while the contribution of the MEMS families to this group is higher than the average.
Operator: The next question is from Janardan Menon from Liberum Capital.
Janardan Menon - Liberum Capital Limited, Research Division: I just want to dig a little bit deeper into 2 of your divisions. One is the Industrial & Power Discretes division, and the other is the Wireless division. In the Wireless division, the revenues are flattish -- I'm sorry, declined less than you expected in the quarter, and you're saying it'll be flattish into the next quarter. I was just wondering, what is the residual mix in that division right now? And what is the sort of bottom revenue that that can go to? I understand that not all of that is modems. And assuming that all the modem business goes away, what is the sort of low level, just from a point of trying to find out how much of a downside effect it can have on your next year's revenue growth? Second question is on the Industrial & Power Discretes. Specifically on that, can you just give us an idea on how your order progression was through the quarter in terms of when did you see the weakness start? Is it predominantly from the distribution channel in Asia? Or is it also from major industrial OEMs around the world? And is that segment still weakening, or have you seen any signs of stabilization there as yet?
Carmelo Papa: Well, I think the part there concerning Power and Discrete -- this is Carmelo Papa speaking. Specifically on your question about the orders, we saw some softening middle of August and in all of September. And if you want to know the direction of the story, we don't see any major different direction right now. So we -- it's a kind of stabilization in that direction at the start of the -- in the middle of August, I would say. And since my business with distribution is a big portion of ST, so I've been struck by this, let's say, new way of -- new behavior of distribution worldwide. That's order with very short-term lead time and almost, say, back-to-back quarters, but with excellent turns. I think they're not [ph] to order. And this is the major reason why I've been impacted by this.
Carlo Bozotti: And it is mostly in Asia.
Carmelo Papa: Yes, mostly in Asia. Correct, yes.
Janardan Menon - Liberum Capital Limited, Research Division: Okay --
Carlo Bozotti: We -- just to make the point, yes, we see some stabilization. This is a fair statement. I mean, you're talking about stabilization. I think we see some stabilization, but we start growing again.
Carmelo Papa: Exactly.
Janardan Menon - Liberum Capital Limited, Research Division: And what about the bigger industrial companies? Is there any weakness from them as well or...
Carmelo Papa: Again, yes, they're not behaving entire like [ph] distribution. Everybody is cautious within this general environment, but we have also some good bookings in some major industrial customers.
Janardan Menon - Liberum Capital Limited, Research Division: Got it. And on the Wireless question?
Carlo Ferro: Yes, on Wireless, maybe I take the question.
Carlo Bozotti: [Indiscernible] Ericsson.
Carlo Ferro: At the end -- on August 2nd, as you know, at the end, the Wireless business has been split, Ericsson took over the LTE thin modem and multimode modem, and ST took over all the other legacy products. At the end, these other legacy products are substantially concentrated into areas. The U8500, for what remains on the existing design win, which is particularly on a number of phones that you're very familiar with at the Korean customer and the entry -- and the platform for entry and so forth [ph]. All the rest, frankly, at the time of moving into ST remains how marginal [ph]. There is still some 5730 modem, the 3G HSPA modem, but these remain now with ones from [ph] customers, so it's quite marginal. And they beat of connectivity solution other than the global navigation satellite system that we sold at [indiscernible]. So at the end of the day, as you see from the existing product, U8500 on legacy phones and the platform for entry in future, with no development of a new phone and with no participation towards the platform, as we expected, at the end these revenues will progressively phase out in the course of 2014. The revenues for the third quarter you read in the press release were $135 million, and that Carlos already mentioned what we do expect for the fourth quarter is to remain at that level. This is a bit higher than what we were previously expecting. This also is coming with some continued price erosion, as you could expect on mature product, which quarter after quarter erodes margin on this product. So good for cash, better for the gross margin.
Carlo Bozotti: So there are, however, 2 families that is coming from ST-Ericsson that for us are very important for the future. And one is the -- what we define as RF SOI is -- this is a technology for RF products is coming from ST-Ericsson. And this is an area where we believe we will expand our business in the future. And another area, of course, is power management. This is also technology that is coming back from ST-Ericsson. I think we have already won new products, new socket with important customers here, particularly, of course, for portable products. We had our own power management activities for industrial applications, so what came back from ST-Ericsson is the technology, the technical -- the resources. The designers who develop power management products. So here, these are -- of course, now one is managed by Carmelo, the power management activity, and the other one is managed by Jean-Marc as part of his ASIC activity [ph]. But they are very important technologies for us. And here, we wanted to insist and develop new products and grow from what we got back from ST-Ericsson.
Janardan Menon - Liberum Capital Limited, Research Division: Got it. But everything in the $135 million right now is platforms and modems, which will effectively go to 0 over the next 5, 6 quarters?
Carlo Bozotti: Zero is probably --
Unknown Executive: No.
Carlo Bozotti: That is too pessimistic.
Janardan Menon - Liberum Capital Limited, Research Division: Close to that, or somewhere around that?
Carlo Bozotti: We'll see.
Operator: The next question is from Amit Harchandani from Citigroup.
Amit B. Harchandani - Citigroup Inc, Research Division: I had a question around your margin progression and the target that you've shifted out now to mid of 2015. When I look at your Q3 operating margins, I mean, SPA being around 6%, and, if I take out the effect of the sale, EPS was still at a minus 12%, if I calculate correctly. So clearly, you have a way to go in terms of improving profitability. And given the comments around revenues for the DCG group as well, would it be fair to say that at least when it comes to EPS, that will probably be more of a drag as you go towards the 10% profitability? I'm just trying to get a sense of how do we build a bridge going out towards mid-2015 in terms of how your profitability improves across the 2 segments.
Carlo Bozotti: Yes, absolutely. So I think compared to what you see in Q3 -- and then Carlo, of course, complement because he's here. He's mostly -- so still we have a very important part on expenses. This is clear. I mean, this is -- in Q3, we improved our expenses compared to Q2, I think, by about $50 million. Now the reduction of expenses was about $50 million, but we still need to move on here. In Q3, we did not have any gains, for instance, and this will be material when -- but we will see. In terms of mix, the mix of Q3 was poor. There was a poor product mix. We had ST-Ericsson at $135 million with a gross margin that was pretty low. And in general, we did not grow on other products where we wanted to grow. And therefore, the mix was pretty poor. So this, as I said before, is an important driver for us. And finally, the realization from -- I mean, the effort that we have in manufacturing to close into 6 -- excuse me, to the -- to close the 2 6-inch fabs and to run partly to 8-inch, this is also a very important program. Overall, the -- of course, as we already said in the past, the model will not been balanced. But we will have a significantly higher profitability from what we see. And this is, of course, in the Sense & Power and Automotive. This is closer to the 15% in our model. And we have the Sense & Power and Automotive that with the new ASIC programs that are very material, particularly in digital consumer applications, and with the new products from the set-top box, continuous growing the microcontrollers and the diversification in Imaging, we can get closer to 5%. So this is for you to model. And so the initiatives are still on expenses, on manufacturing and, very importantly, on product mix. Of course, growth is fundamental and the evolution of the top line. And the indication that we can give today in terms of the 2 major segments of the company is closer to 15% for Sense & Power and Automotive, and it's likely to go 5% for the Embedded Processing Solutions.
Amit B. Harchandani - Citigroup Inc, Research Division: That's very helpful color, Carlo. And as a quick follow-up maybe, do you -- when you talked about stress -- you stressed upon continuing upon your current initiative. But do you maybe see a potential maybe to do, say, an M&A or any other activity that would help you shore up or maybe accelerate the recovery or improve your product portfolio on the EPS side and help you become more competitive?
Carlo Bozotti: Yes. No, we do not want to, at this point, to play on -- or to count on any non-organic initiative. I believe, of course, there are areas where we have stronger interest to look at and, how can we say, to be vigilant and address opportunities if they may come. But this is certainly to reinforce what we already have and not to expand at all, just to be very, very clear here. So is to -- if needed [ph] is to reinforce. And if I have to select the areas, is -- I would say it's more in the Sense & Power rather than in the digital. And this is, however, as I said, something that is not on the table, is something that we do not assume as an ingredient in reaching our profitability target.
Operator: Next question is from Bernd Laux from Kepler Cheuvreux.
Bernd Laux - CA Cheuvreux, Research Division: I would like to come back to one of the replies you made earlier. You mentioned that should the product mix not improve the way you want and the foreign exchange drag persist, you could envisage additional action. Can you be more specific on what you have in mind in that respect? And the second question is regarding the MEMS business. You have not mentioned the Pico Projector in your comments before. Can you talked about the customers' reception of that product and your ambitions for the Pico Projector?
Carlo Bozotti: Carlo will take on the first part, and I will take on the Pico Projector.
Carlo Ferro: Again, a clarification on the prior answer, where there, again, we have a clear, well-identified structure of the plan to reach the 10% of profitability mid-2015. We have refreshed this plan recently with the reference exchange rate that was in the range of $1.34, $1.35 when we have developed the plan. I see, frankly, in the 7 quarters of execution not a particular issue who the exchange rate be at the today level of $1.377. What I said is that, of course, if the exchange rate continues to deteriorate and structurally deteriorate at the end, this may call for further initiative in order to allow the company to maintain the breakeven point, as currently envisaged, and the appropriate level of sales to generate the about 10% of target profitability.
Carlo Bozotti: On the Pico Projector, today we have an activity that is very much centered with some leading Asian customers that I cannot mention. I -- of course, it's for portable solutions. The -- this is kind of a 3-party activity because here, there is, of course, a complex module to deliver the overall solution, including lasers, as you know. And there is our own direct contributions, that is the micro mirrors for reflecting the light, and it's also in ASIC, digital ASIC, to control the solution itself. So we are working with some major customers in Asia in cooperation with another company that is -- ultimately will provide the complete system to address this application. I would also like to mention at this point that a start of our MEMS activity, or close to our MEMS activity, we see interesting development in the area of our micro mirror technology. And this is a new area that we are addressing, is another example of what we can do with micro machinery. And this is -- it is not per se the Pico Projector but is new applications where we can use our micro mirror technology.
Operator: The next question is from Mr. Tristan Gerra from Robert W. Baird.
Tristan Gerra - Robert W. Baird & Co. Incorporated, Research Division: Could you talk a little bit about the product pruning that could be -- that could take place as a result of the fab consolidation that is ongoing? Any product that could be impacted outside of standard product? And any way we could quantify the impact, the potential impact? And also, how long will it take for that process to be completed?
Carlo Bozotti: Well, we want to do -- we want to -- as I said before, the program that we have on our [indiscernible] CJ9 [ph] is the one that is more importantly driving our product pruning activity. And this is something that started in July with the decision to go, and we would like to land on a situation where we do not have anything else in [indiscernible] CJ9 [ph], with the exception of our Jetmos [ph] activity that will stay there. That is a very specific technology for a very specific customer. So this is a big fab that we are closing, and this is an area where we have several products and several technologies for a number of groups. And I think it is not really at the level of the product family. What we are targeting here is to make product pruning at the level of the products. And this, of course, is an action that we have in place in the company. There are groups that are more involved than other but is an important initiative that is running in parallel with the manufacturing activity. So it's not a product family per se but is products that are part of certain families where, because we are closing the fab and because the margin structure is considered not adequate, we do not expect to move into 8-inch, for instance. And therefore, as a consequence, they will be pruned. This is an activity. Now, of course, we have a quantification of what we expect from this program but I will prefer not to provide the quantification. It's an important element in shutting down this fab. It's an important ingredient in this initiative. And for me, it's important to underline that it's not product families, it's not -- but it's product by product. Of course, there are many, many products belonging to various families, and it's a pretty important program that we have.
Tristan Gerra - Robert W. Baird & Co. Incorporated, Research Division: And then a quick follow-up on the CapEx outlook. You mentioned on the call well below 10% of revenues. If we assume revenue growing in the low to mid-single digits over the next couple of years, where will that take us in terms of CapEx as a percent of revenue? And also, where are you in terms of your fab-lite strategy?
Carlo Ferro: Well I -- we could -- your question to reaffirm what we already said in the call at the end that this year, that we have delivered well below the 10%. Next year, we expect to deliver CapEx below the 10%. These will be, of course, moderated progressively depending on the evolution of the demand. Then frankly, going forward, what is for us important is our model, our strategy, which is comprised of mastering the technology and the manufacturing advances in CMOS technology, of course, combined with a significant outsourcing from foundry as a combination of the 2. As we have closed the third quarter, the percentage of silicon from foundry is the 10%. Overall, for the overall company, the overall model for the company is more around the 20%. So in the model to support revenues growth going forward in the next 3, 4 years, increasing our sourcing from foundry is still an important ingredient together with updating our technology and moderately growing the capacity on internal fabs.
Operator: The last question for today is from Mr. Brad Simpson [ph] from [indiscernible] Research.
Unknown Analyst: I had a couple of questions on Nano17, maybe first for Carlo Ferro. Can you talk a bit about how you're booking the cash from the grants here? Is it evenly split over the quarters? And is it booked against COGS? Or how does it work? And for Carlo Bozotti, can you lay out what specific commitments ST is making to raise 12-inch leading-edge manufacturing capacity at Crolles as part of this 5-year plan?
Carlo Ferro: Yes, I can start, Carlo, with some guidance on the accounting for grants at the end here for Nano2017. That is the same criteria we have always adopted for any R&D grants for the company. First of all, we do not start to recognize grants in the P&L until the contract is finally formalized on all its steps, which, irrespective of having already started the activities, so in 2013, in the current quarter, at the end, we ran, of course, R&D activity that are part of this program encompassing the period 2013-2017. However, as the contract is signed with the French government, that's pending a clearance at the European Union, we will start to recognize it after this clearance is signed. Once recognized, the benefit goes to the line Other Incremental Expenses against R&D spending that, obviously, is on the line R&D. And what we do normally recognize is a sort of ratably progression program by program on the -- based on the execution of the program. In general, for modeling, I'll say that if you divided the total amount by the number of the periods, the amount per quarter is -- in the bulk is substantially correct. This is about the P&L impact. Of course, the cash impact is different. The cash impact is based upon filing reporting incurred expenses and progression of the programs, which occurs over the life of the period. And normally, in respect of cash, we do, with this kind of contract, collect within a 6- to 12-month period of outstanding.
Carlo Bozotti: Yes. And as far as the second part of the question, the Nano2017 is an R&D program, so there is a commitment from ST to develop certain products and certain technologies in the area of Crolles and Grenoble. Technology in Crolles, of course, and products in Grenoble. This is our agreement. The agreement does not relate at all to any manufacturing activity. And in fact, we moved the grants in the line Other Income and Expenses and it is compensating the R&D cost. So this is a reduction of our R&D cost. So this is our -- this is the contract, this is our commitment. And of course, there are important milestones from an R&D point of view, and is -- and also from the product development point of view but again it is an initiative that is fully centered on R&D.
Unknown Analyst: And maybe just a follow-up on FD-SOI since I've -- that's linked to the Nano17 5-year plan. Now that you no longer have ST-Ericsson in the portfolio and FD-SOI was -- is largely benefiting portable products, low-power products, what specific products inside ST really takes advantage of the benefits of FD-SOI? And ultimately, how big do you think FD-SOI is going to be for ST in the years to come?
Carlo Bozotti: [Indiscernible] ASIC.
Jean-Marc Chery: We don't -- for the short term, it is clear that the product that will benefit from FD-SOI are mainly ASIC. So that's the reason why there's 7 design wins we have in the field of ASIC, both for complex ASIC for communication equipment infrastructure, because really the customer, they would like to optimize the performance versus power consumption. With the big data booming, energy will become crucial. So to deliver a device which are able to perform well but conserve less is a key differentiating factor. Now of course, in digital consumer ASIC, big volume definitively to consume less, to optimize the battery life is a key differentiating factor as well. Then, in the near future, if you remember well, we have always said that FD-SOI is a technology which will be simpler than the complex 3D1 [ph]. And of course, to address the future of 14-nanometer node for all consumer application, to deliver this technology, which will have less cost of ownership, is a key competitive advantage versus the 3D1. So this is basically okay in terms of I can do.
Carlo Bozotti: So, so far, the 7 products are custom products. The first product from ST will be our OV3 [ph]. That is expected to be available in the second quarter in terms of sampling and is a -- is our flagship for Home Gateway and set-top box. And this is the first product that not only will be on RF [ph] but will be on the FD-SOI technologies. So really 3 applications. So the portable consumer ASICs, the communication infrastructure ASIC and our own, of course, Home Gateway products, starting from the OV3 [ph].
Jean-Marc Chery: So just to complete, okay, about both [indiscernible], in terms of perspective, so -- and then there's a next generation of product who will take benefit of the FD-SOI is the Image Signal Processor, because, okay, with more and more sensor [ph], you will have to process more and more data. And here, again, the ratio of performance versus power consumption is key for ESP. And then second step, when you will see the booming of connected device, connected device, again, will request to deliver some DMIPs [ph] but at a very, very low power consumption. And you know that one of the key features of the FD-SOI is the capability to operate at very low operating voltage with very, very low power consumption but delivering enough DEMIPs to connect any object you would like to connect in the famous Internet of Things.
Tait Sorensen: Thank you, Brad [ph]. I think at this time, we'll go ahead and close the call. We appreciate everyone's participation. If you have any follow-up calls, feel free to call the Investor Relations department. Thank you very much.
Operator: Ladies and gentlemen, the conference is now over. Thank you for choosing Chorus Call, and thank you for participating in the conference. You may now disconnect your lines. Goodbye.